Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions First Quarter 2016 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. In the interest of time, we ask that you limit yourself to one question. Thank you. I would now like to turn the conference over to David Nelson, Vice President of Investor Relations and Treasurer at Cognizant. Please go ahead, sir.
David Nelson: Thank you, operator, and good morning, everyone. By now you should have received a copy of the earnings release for the company's first quarter 2016 results. If not, a copy is available on our website, cognizant.com. The speakers we have on today's call are Francisco D'Souza, Chief Executive Officer; Gordon Coburn, President; and Karen McLoughlin, Chief Financial Officer. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. I would now like to turn the call over to Francisco D'Souza. Please go ahead, Frank.
Francisco D'Souza: Thank you, David, and good morning, everyone. Thanks for joining us today. Our Q1 revenue was $3.2 billion, down 0.9% from Q4 and within our guided range of $3.18 billion to $3.24 billion. Revenue was up 10% from a year ago. The quarter developed exactly as we outlined when we provided guidance back in February. As we expected, we saw some softness in our Financial Services and Healthcare segments resulting in a slow start to the year. Macroeconomic concerns and market volatility weighed on the banking industry at the start of this year, resulting in some moderation in discretionary spending. We anticipate a return to positive sequential growth in our financial services practice for the balance of this year. Industry consolidation within the healthcare payer space was a key factor in the softness of our healthcare practice during Q1. Going forward this year, we also expect a return to positive sequential growth in our Healthcare segment as the pressure from industry consolidation is expected to be partially offset by anticipated project ramp-ups and a strong pipeline including the recent signing of a significant multiyear deal with EmblemHealth, one of New York's leading health insurance and wellness companies. Turning to guidance, we are reaffirming our full-year non-GAAP EPS guidance within a range of $3.32 to $3.44 and tightening our full year revenue growth guidance to a range of approximately 10% to 13%. What's important to note is our Q2 revenue guidance reflecting a strong rebound in sequential growth is a range of $3.34 billion to $3.4 billion. This represents incremental revenue within a range of $140 million to $200 million and would make Q2 a strong sequential growth quarter putting us on a solid trajectory for the rest of the year. We expect broad-based momentum across service lines, geographies and industries in Q2. In support of our confidence in the business and the strength of our pipeline, we stepped up hiring adding approximately 11,300 net hires this past quarter. Karen will provide you with full details of our expected financial performance shortly. Moving on, let me provide some color on the key factors influencing client spending in the current environment. As we've seen over the last several quarters, digital transformation continues to be a strong driver of demand as clients look for new solutions that allow them to defend their businesses against digital disruptors while innovating to create new areas of growth. We are in a strong position to capture the opportunities that are emerging from this transition. We believe that for true enterprise-wide digital transformation, clients need an interdisciplinary framework which brings together strategy, technology, design, data science and industry knowledge. Cognizant Digital Works has been developed to provide this integrated approach in driving transformation. This quarter, we've added another dimension to our Digital Works approach by acquiring a 49% stake in ReD Associates, a human science consultancy that focuses on consumer experience and behavior and how these factors impact corporate strategy, products and services and go-to-market approaches. Together, ReD and Cognizant will provide a unique and compelling approach for businesses in helping them reframe their challenges for the digital era. Gordon will talk more about ReD later in his comments. True digital transformation requires businesses to make fundamental changes in customer experience, operations and business models that extend throughout the organization from the front office to the middle office and right through the back office systems. At the front end where enterprises engage with a myriad of stakeholders from customers to employees and business partners, our clients are looking to build capabilities that create personalized experiences across multiple devices that are well integrated with their business and technology architectures and can be deployed rapidly at scale. In the middle office, clients are looking for operational agility and efficiency by combining people, processes and technology through platforms that have delivered as outcome-based models. These shared utility models sometimes called Business Process-as-a-Service, or BPaaS, can be enhanced with automation and analytics to bring additional value to client operations. And in the back office, clients must modernize core IT systems and implement complex engineering development methods to create the technology backbone that's able to support the agility, scale and performance needs of a digital enterprise. It's through this lens that we've identified investments in three key strategic areas to take clients through this transformation journey. Let me now talk more about each of these initiatives in detail. The first strategic initiative is building the digital capabilities to work with our clients on their front end systems. I spoke a few minutes ago about our Digital Works approach which seamlessly integrates five essential elements: strategy, technology, data science, experience design and industry expertise to develop and deliver digital solutions rapidly. We're finding great traction for this framework across the industries that we serve. For example, we're helping a leading life sciences company to improve diabetic care by implementing an Internet of Things, or IoT, infrastructure that enables remote upgrades to home-based glucose meters and insulin pumps. Doing so will improve customer satisfaction and adherence to testing regimes. This comes after we've already successfully developed an IoT monitoring framework for the same company to better maintain its thousands of surgical devices remotely. The second strategic initiative is to help clients achieve new levels of efficiency and effectiveness in their core transaction processing operations by building platform-based solutions and industry utilities. These solutions are offered to clients in a Business Process-as-a-Service, or BPaaS, model that allows clients to shift from buying service to buying an outcome. By applying a series of levers including process optimization, digitization and large-scale efficiencies, we're able to bring clients levels of effectiveness which they would have been unable to reach on their own. The third strategic initiative is to transform client's existing IT systems and infrastructure to next-generation IT. Clients cannot harness the potential from digital technologies without integrating with and upgrading their legacy systems and infrastructure. This requires a transformation of their IT backbone including a simplification of how applications are developed and delivered along with the standardization of the IT infrastructure to ensure simplicity and flexibility at an appropriate cost. For instance, under our agreement with the healthcare clients I mentioned at the beginning of my remarks, over the next several years, Cognizant will help retire, upgrade and modernize their legacy infrastructure, software and development processes. We will replace legacy infrastructure with cloud-based virtual infrastructure, upgrade all software capabilities with Cognizant's TriZetto Facet software and implement agile methodologies to ensure and expedite the timely development and rollout of new products. With that, let me hand the call over to Gordon to discuss our performance, and then to Karen to provide more financial details. I'll be back later to take your questions. Gordon?
Gordon James Coburn: Thank you, Francisco. Heading into the rest of the year, we have good momentum across the business as indicated by our Q2 guidance which anticipates very healthy sequential revenue growth. With that in mind, let me provide you with some additional color on our performance across industries, Horizon 2 businesses and geographies. Our Banking and Financial Services segment was down 1.7% sequentially and up 10.7% year-over-year. As we discussed on our first quarter call, macroeconomic concerns weighed on our banking practice at the start of the year. While we've seen stabilization in the markets and expect improved performance within our banking practice over the course of the year, several of our banking clients continue to take a cautious approach. Looking past these short-term challenges, it is increasingly clear that the FinTech revolution is driving our banking clients to invest in significant changes to their business model to meaningfully pivot towards becoming digital enterprises. Moving on to our insurance practice, we continue to see strong demand for solutions which help transform the claims and underwriting processes deliver greater efficiencies increasingly through managed services or other outcome-based arrangements. In addition, there's an increased focus on automation and digital, particularly in areas that improve customer experience and customer self-service often through harnessing data and analytics to drive real-time decisions. Let me give you an example. We are working with The Guardian Life Insurance Company to implement a next-generation IT solution for modernizing its big data infrastructure with Cognizant's BigFrame, a platform solution that leverages Cognizant extensive big data and mainframe expertise. Using the BigFrame solution, Guardian will fast-track its modernization program while minimizing risk and operational impact. The new platform-based environment integrates data from multiple sources providing comprehensive data as a service to internal teams for self-service analysis, improved decision-making and faster product development. Our Healthcare segment, which consists of payer, provider, pharmaceutical, biotech and medical device clients, declined 4% sequentially and grew 4% year-over-year. The seasonal impact of TriZetto's software business contributed to roughly half of the sequential decline as a large portion of software sales occur in the fourth quarter. As we've discussed for several quarters, the industry consolidation among several of the nation's largest payers is weighing on our healthcare practice in 2016. However, the payer sector continues to undergo fundamental changes. Over the medium and longer term, we believe these changes will create opportunities that we are well positioned to capture particularly through the combined Cognizant and TriZetto offerings. As you recall, we had said that by acquiring TriZetto, we were acquiring IP in the form of software which, when combined with our traditional IT and business process services, would allow us to create revenue synergies that neither company alone would have been able to achieve. These synergies include increased systems integration, hosting and business process opportunities around the TriZetto software, and most importantly, end-to-end platform-based solutions. The integration of TriZetto and market acceptance of our combined capabilities has exceeded even our own expectations. As a result, we continue to feel good about the acquisition and our ability to create shareholder value through strong synergy revenues. In addition to end-to-end BPaaS solutions in healthcare, we're also winning in digital. For example, Cognizant has been engaged by a division of a major healthcare player as their strategic partner in their digital business transformation. This client is experiencing rapid growth and has process systems and technology that cannot keep pace with their growth and strategic vision. We're helping them to re-imagine their customer experience, re-platform their operational backbone and redesign their operating model, ultimately resulting in an increased customer retention and operational effectiveness, improved customer insights and experience and lower cost of operations. Moving to our life sciences business where the pipeline for deals is strong despite a muted start to 2016, we continue to see demand for multiservice deals combining applications and infrastructure in our midsize pharma clients while our large pharma clients are increasingly interested in managed services arrangements to help reduce operational risk and deliver cost savings. Our Retail and Manufacturing segment was up 3.6% sequentially and 15.2% year-over-year, driven by strength in retail, manufacturing and logistics. One of the keys to the strength in our manufacturing and logistics practice in recent quarters has been our growing relationship with the engineering teams within our clients, leveraging our digital and IoT expertise to help them smart-enable products to improve instrumentation across their product portfolios. For example, for a global manufacturer of industrial machinery, we're helping the client who has faced a period of declining sales digitally enable existing equipment and create new digital products as a way to monetize data, improve the utilization of their equipment as well as reduce inventory in the supply chain. Our Other segment, which includes high-tech, communications and information media and entertainment clients, was up 2% sequentially and 14.7% year-over-year, driven by our technology practice. With high-tech clients, we are seeing good opportunity around platform engineering for cloud services. Working with our high-tech clients enables us to do leading-edge technology work which is often applicable to other industries. For example, we are implementing this platform development for a client who is a leading provider of cloud computing services. Cognizant is creating a fully automated platform which will target the mid-market enterprise space to provide real-time and elastic capacity for their customers network and storage needs and to price this capacity accordingly. As a result, the client was able to significantly reduce cloud services provisioning time and launch new variable pricing models matching changes in market demand. This kind of experience is increasingly relevant to our corporate clients who are thinking about re-architecting their infrastructure by deploying cloud solutions. Let me now turn to our Horizon 2 services: Cognizant Business Consulting, Cognizant Infrastructure Services and Cognizant Business Process Services. Our Horizon 2 services, which are approaching a $3 billion annual revenue run rate, have reached critical scale and have significantly increased our addressable market. They are essential to both the work we are doing around digital transformation and platform based solutions. The success and tremendous growth we've seen from these service lines over the past years demonstrates the power of the three horizon model as a way to manage growth and investment in the company. Cognizant Business Consulting continues to be a key competitive differentiator for us and is underlying much of the work we're doing across our strategic initiatives. As clients undergo enterprise-wide transformation, our consulting practice plays an important role through capabilities such as technology, business and digital strategy, operational improvement, program and change management and process redesign. Cognizant Infrastructure Services continues to see strong growth, primarily in solutions that drive simplification, predictable operations and accelerated delivery. Increasingly, there is a strong focus on automation and IT operations, driving business agility through deploying cloud solutions. For example, a manufacturer of medical devices, which saw an opportunity to improve performance and uptime needed to standardize and improve its global IT operations. We're developing a scalable and reliable IT infrastructure and offered an end-to-end solution, managing all the clients' hardware and applications, improving speed, predictability and customer satisfaction. Cognizant Business Process Services saw a very strong growth during the quarter, led by work with our high-tech and insurance clients. Infusing technology and automation in core business processes is critical to helping clients achieve greater levels of operational efficiencies while also enhancing business outcomes through data analytics. Cognizant recently commenced a multi-year agreement with Storebrand, one of the largest financial services firms in the Nordics, to transform their operations. Cognizant will combine business process with consulting and infrastructure services to enable Storebrand to reengineer business processes across the customer lifecycle, automate and modernize existing IT systems infrastructure and develop digital platforms with advanced analytic capabilities. As part of the contract, Cognizant will help Storebrand to move to a BPaaS model and deliver seamless omni-channel experience. From a geographic standpoint, North America declined 1.4% sequentially. Adjusting for the seasonality of the TriZetto business, North America was broadly flat with Q4. Europe was up 0.9% sequentially after a 2.5% negative currency impact. The U.K. declined approximately 2.3% sequentially after a 4.5% negative currency impact and Continental Europe grew 5.4% sequentially after a slight positive currency impact. Finally, the rest of the world was up 30 basis points sequentially and almost 25% year-over-year. Growth was driven primarily by strength in key markets such as India, Australia and the Middle East where we're seeing good traction with clients' adoption of digital technologies. Before I turn the call over to Karen, I'd like to discuss our recently announced 49% investment in and exclusive partnership with ReD Associates. How our customer interacts with his or her own world whether it's taking medications, driving a car, shopping or going for a jog has largely been the same for decades. Yet with the digital revolution and the merging of the physical and the virtual, these basic activities are now being rethought. This has become the new competitive battleground for many of our clients of revitalizing their products and services with digital technology. ReD is a unique, highly specialized consultancy whose expertise in the human sciences is helping build businesses to address these issues. ReD specialists in sociology, anthropology, philosophy and political science work with market-leading blue-chip clients such as adidas, Ford and Novo Nordisk to create compelling experiences for their customers. The customers who now expect their workout equipment, car, shopping experience and healthcare to be every bit as personalized, engaging and insightful as their iPhone. Our minority ownership model allows us to work together exclusively while helping us preserve the unique culture and processes that have led to long-term success of ReD Associates. This partnership will enable Cognizant and ReD to create an entirely new model for making sense of human behavior, connecting those insights to strategy, applying design-thinking to creating engaging digital experiences and then applying technology to achieve global enterprise scale. These critical elements add to the front office capabilities which we described earlier and enable us to address these challenges in a unique way. With that, let me turn the call over to Karen, who will review our financial results.
Karen McLoughlin: Thank you, Gordon, and good morning, everyone. First quarter revenue of $3.2 billion met our guidance and represented a sequential decline of 0.9% sequentially and an increase of 10% year-over-year. We had a negative currency headwind which impacted sequential revenue growth by $15 million or approximately 50 basis points and year-over-year revenue growth by $34 million or 120 basis points. Non-GAAP operating margin which excludes stock-based compensation expense and acquisition-related expenses was 19.9% within our target range of 19% to 20%. Non-GAAP EPS of $0.80 was at the high end of our guidance range of $0.78 to $0.80. Consulting and technology services and outsourcing services represented 57.8% and 42.2% of revenue respectively for the quarter. Consulting and technology services declined 1.6% sequentially, reflecting the cautiousness of certain clients primarily in banking and healthcare to spend on project-based work, as well as the seasonality of TriZetto's software license revenue. Revenue from consulting and technology services grew 12.9% year-over-year. Outsourcing services revenue was flat sequentially and grew 6.2% from Q1 a year ago. During the first quarter, 37% of our revenue came from fixed price contracts, and as expected, overall pricing was stable. We added eight strategic customers in the quarter defined as clients that have the potential to generate at least $5 million to $50 million or more in annual revenue bringing our total number of strategic clients to 308. As Frank mentioned earlier, we ramped up hiring during the quarter with approximately 11,300 net new hires, reflecting our near-term growth expectations and strength of our pipeline. Annualized attrition of 14.6% during the quarter including BPO and trainees was down by almost 450 basis points from last quarter and up slightly from the year-ago period. Throughout 2015, we put in place various employment engagement initiatives to improve our retention levels and are pleased with the progress we've made to date. We will continue to enhance these initiatives over the course of 2016. Total head count at the end of the quarter was approximately 233,000 employees globally of which approximately 218,000 were service delivery staff. As a result of our strong hiring in the first quarter, utilization is down slightly compared to the fourth quarter. Offshore utilization was approximately 75%, offshore utilization excluding recent college graduates who are in our training program was approximately 80% and on-site utilization was approximately 92% during the quarter. Our balance sheet remains very healthy. We finished the quarter with approximately $4.5 billion of cash and short-term investments, down by approximately $500 million from the quarter ending December 31. Borrowings under our revolver decreased during the quarter by $250 million ending at $100 million. Our cash and short-term investments net of debt were up by approximately $1.2 billion from the year-ago period. Total receivables were $2.8 billion at the end of the quarter and we finished the quarter with a DSO including unbilled receivables of 74 days. This is up from 73 days in Q1 of 2015. The unbilled portion of our receivables balance was $432 million, up from $369 million at the end of Q4. We billed approximately 53% of the Q4 unbilled balance in April. The increase in unbilled receivables was primarily due to the timing of certain milestone deliverables. Our outstanding debt balance was approximately $1 billion at the end of the quarter, which included $100 million outstanding balance on our revolver. Turning to cash flow, operating activities generated approximately $68.8 million, financing activities were approximately $467.8 million use of cash during the quarter and capital expenditures were approximately $63.7 million during the quarter. During the first quarter, we accelerated our share repurchase activity, repurchasing 4.3 million shares for a total cost of $244.6 million and our diluted share count decreased to 611.8 million shares for the quarter. As of the end of Q1, we had repurchased approximately 45.5 million shares for a total cost of approximately $1.8 billion under our stock repurchase authorization of $2 billion. We had $193 million remaining unutilized. I would now like to comment on our outlook for Q2 and the full year. For the full year 2016, we have tightened our revenue expectation to be in the range of $13.65 billion to $14 billion, which represents growth of approximately 10% to 13%, including an approximate 1% negative currency impact. The tightened range is primarily a result of our slower than usual performance in Q1. As Frank mentioned, we expect broad-based momentum across service lines, geographies and industries as we move into Q2 and the rest of the year, and expect the ramp-up of several deals including the healthcare deal mentioned earlier. Our guidance is based on the current exchange rates at the time at which we are providing the guidance and does not forecast for potential currency fluctuations over the course of the year. For the second quarter of 2016, we expect to deliver revenue in the range of $3.34 billion to $3.4 billion. During the second quarter and for the full year, we expect to operate within our target non-GAAP operating margin range of 19% to 20%. For the second quarter, we expect to deliver non-GAAP EPS in the range of $0.81 to $0.83. Our non-GAAP EPS guidance excludes net non-operating foreign currency exchange gains and losses, stock-based compensation and acquisition-related expenses and amortization. This guidance anticipates a share count of approximately 610 million shares and a tax rate of approximately 27%. We expect to deliver non-GAAP EPS in the range of $3.32 to $3.44 for the full year. This guidance anticipates a full year share count of approximately 611 million shares and a tax rate of approximately 26.6%. Now, we would like to open the call for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. Thank you. Our first question is from the line of Brian Essex with Morgan Stanley. Please proceed with your question.
Brian L. Essex: Hi. Good morning and thank you for taking the question. I was wondering if maybe you could comment a little bit about your confidence in the back half of the year and the levers that you anticipate to achieve accelerated growth, particularly with regard to the BPaaS pipeline and deals which may materialize in the back half of the year.
Gordon James Coburn: Hey, Brian. It's Gordon. Thanks for the question. Let's talk about both confidence for Q2 and the back half of the year because they tie together. We have very good momentum going into Q2. Our guidance is for $140 million to $200 million of sequential growth. We expect to return to positive growth – positive sequential growth both in Healthcare and Financial Services, so sort of the headwinds that we had in Q1 on a sequential basis have subsided because it's in our run rate. When you think about the back half of the year, there are a couple wildcards and obviously that's why there's a guidance range. One is what happens with additional BPaaS deals and the timing on those, what happens with the timing of some of the big M&A and healthcare and we've – for the full year, we continue to be cautious in Financial Services. But even with that, given the pipeline both of new projects from existing customers and very, very healthy new logo wins in Q1, we feel good both about the sequential growth going into Q2 and that we continue to have healthy momentum in the back half of the year.
Brian L. Essex: Great. And maybe if I could follow up on the M&A comment, so obviously two very large M&A deals that we're all tracking, and one of them looks a little bit more certain than another to happen sooner. If one of those were to get pushed, could you maybe -- any color in terms of commentary and that how are those management teams and how that spending profile may look with a delay in one of those deals?
Gordon James Coburn: We haven't had any direct discussions about what happens if the deal is pushed or not pushed, but what we've seen historically and are certainly seeing now is during the time when people are waiting for – to see if a deal occurs, there are deferrals in spending because they're looking at what systems will be the ultimate system that's used and so forth and that's baked into our guidance. So our guidance assumes that these deals take a fairly long time at the low-end of our guidance. If they happen sooner, great.
Brian L. Essex: Great. Thank you very much.
Operator: Our next question is from the line of Ashwin Shirvaikar with Citigroup. Please go ahead with your question.
Ashwin Shirvaikar: Thanks. I guess, the question is, can the demand and growth of your Horizon 2 and Horizon 3 offerings which are doing quite well, sufficiently offset the anticipated and ongoing weakness in traditional Horizon 1, so that net-net you can look forward to sustainable double-digit growth? And that's not just a 2016 question; it's beyond that as well. And then, I guess, do you then need to accelerate your inorganic investments in IP and software-based companies to either boost or sustain that growth?
Francisco D'Souza: Hey, Ashwin, it's Frank. I think since you asked a long-term question beyond 2016, I will answer it in that context. I would say that overall the world is becoming more technology-intensive, not less technology-intensive, and that technology needs to be deployed, it needs to be integrated, it needs to be configured, it needs to be maintained and upgraded and so on and so forth. None of that activity goes away. So at a very macro level, I see very strong growth opportunities for us across all three horizons, frankly, because I don't see Horizon 1 declining; I think that as new technology gets deployed, you need to upgrade it, you need to maintain it, you need to take care of it and so on and so forth. And so Horizon 1 services will continue to, I think, have healthy growth going forward. So net-net when I look at the portfolio across all three Horizons in the long run, I think that there's plenty of market opportunity. And I'll remind you, I don't need to remind you but I'll just say that it's a very fragmented market. We have 1% to 2% market share. So there's plenty of opportunity for us to go capture additional share in the market. And to the second part of your question, I continue to expect that we will have an active M&A strategy as we have historically looking at the tuck-in acquisitions in the areas that we've always said geographic expansion, new technologies, deepening our industry expertise, and also now software and IP, I think, will factor into that. But I think our baseline is to do small tuck-ins and then from time to time if great opportunities like TriZetto present themselves that are bigger, we will obviously look at those. TriZetto has been, I think, as Gordon said in his comments, exceeded our expectations, I think, in what we've been able to achieve in a year and a half. And so we'll continue to look favorably at opportunities like that but also look at them very carefully to make sure that they meet all of the criteria for us.
Ashwin Shirvaikar: Thank you.
Operator: Our next question is from the line of Edward Caso with Wells Fargo. Please go ahead with your question.
Edward S. Caso: Hi. Good morning. I'm just trying to get a sense in the banking sector how much of the softness reflects to the mix of your particular clients or could it also be some market share losses given that some of your competitors reported fairly solid results in the financial services area? Thanks.
Gordon James Coburn: Hey, Ed. It's Gordon. So certainly, the bigger component of it is our exposure to financial services and just who our clients happen to be. There's one example where this share shift going on but that's a relatively small portion of the softness that we saw. We tend to work with the big – for the big money center banks. We do a lot of work for the European banks and those are the ones that have been hit harder than the midsize banks. And also, because we have a fairly large European exposure on a banking practice, FX was also – had some impact there.
Operator: Thank you. Our next question comes from the line of Tien-tsin Huang with JPMorgan. Please go ahead with your question.
Tien-tsin Huang: Thanks. Good morning. Just curious how is the pricing environment out there. Anything unusual in deals won or lost?
Karen McLoughlin: Tien-tsin, this is Karen. No, I mean, pricing has been very stable. I think obviously last fall we talked about some competitive environments that we were seeing in a couple of deals. But I think, frankly, that has mitigated itself. Pricing continues to be very stable. Clients right now are frankly looking for providers who can really bring the thought leadership and the value and the very strong consulting expertise and obviously that commands appropriate pricing.
Operator: Thank you. Our next question comes from the line of Bryan Keane with Deutsche Bank. Please proceed with your question.
Bryan C. Keane: Hi, guys. Cognizant's revenue guidance of 10% to 13% is in line to a little lower than some of the Indian IT peers for the next 12 months. And then historically, I can't recall a period that Cognizant didn't grow faster than peers and I know you guys keep margins lower because you invest for future growth. So just hoping to get your thoughts on maybe what's explaining the growth rates matching up with Indian IT peers and that you guys aren't significantly beating peers as usual and then when might you get back to historical norms. Thanks.
Gordon James Coburn: Hey, Bryan, it's Gordon. It has a little to do with the math. Q1 is soft for us. We're in a sequential decline but then actually have quite healthy growth and I would expect probably growth that shows favorably to many of our competitors sequentially going forward from there. But in Q1 – I think we had a couple of unique things in Q1 particularly in healthcare because we have such a strong position there. We were impacted by that and then in BFS once again because our big exposure to the money center banks. So full year, I think your observation is right. When you look sequentially after our soft Q1, time will tell whether that observation is correct or not.
Operator: Thank you. Our next question is from the line of Darrin Peller with Barclays. Please proceed with your question.
Darrin Peller: Thanks, guys. I just want to ask when we think about the setup as we proceed towards the second half of the year and it's 2017. I mean, some of these financial clients you talked about have seem to be re-accelerating a little bit at least and then if that were to stay confident and you couple that, I'm curious what post-merger integration looks like as compared to what you're doing with those clients before on the Healthcare side, in particular. I mean, is that something we could see potentially even up notably greater level of revenue in 2017 as these deals will close hopefully than we saw that with – currently to an acceleration?
Karen McLoughlin: Sure. Darrin, this is Karen. And I think that's exactly the trend we have historically seen with mergers and acquisitions, right? There tends to be a lull before the deal closes as the clients sort of pulled back, evaluate what their plans are going to be. And then post-merger depending upon when the integration starts, there tends to be quite a bit of upside as you bring the platforms together or implement new processes and new platforms for the combined organization and that clearly in big healthcare deals like this would have quite a long runway. So as we said, depending on the timing of those deals, given the fact that we are a strong partner on all four or five of the equation in those deals, we would certainly expect to see at least our fair share of the integration work.
Operator: Thank you. Our next question is from the line of Jim Schneider with Goldman Sachs. Please go ahead with your question.
James Schneider: Good morning. Thanks for taking my question. Regarding the pipeline of new healthcare deals, you had talked about last quarter in the back half of the year, I think you talked about one of them but could you maybe talk about your confidence in those deals materializing or getting closer to signing several of them and maybe just talk about the overall pipeline in that space right now?
Gordon James Coburn: Sure. We're really pleased, Jim, with the pipeline in healthcare, particularly in healthcare deals that leverage the synergy between the TriZetto platform and Cognizant's IT capabilities. It's always difficult to predict when these deals will close. Obviously, we closed a deal this quarter that we discussed to really focus on modernizing, transforming and automating the client's environment. As we get later in the year, obviously, the impact it has in 2016 for additional deals closing is smaller but sets us up very well for 2017. So the way I think about it is we have clearly validated the market for this combined offering. We have a healthy pipeline. When exactly they close, don't know, but we're actively working on multiple deals right now.
Operator: Thank you. Our next question is coming from the line of Sara Gubins with Bank of America. Please go ahead with your question.
Sara Rebecca Gubins: Hi. Good morning. Within Financial Services, I was hoping to get some more details on what kind of discretionary work is being pushed back and any more color on how you're performing with regional banks? Thanks.
Francisco D'Souza: Hey, Sara. It's Frank. I would say that – let me answer the second part of your question first. I think the work that we're doing with the regional banks continues actually to be very strong. We saw good – we have seen, I think, for the last three quarters, four quarters at least great traction with the regional banks. That continues and we feel good about that. That's part of the return to positive sequential growth in Financial Services in the coming quarters. And then I think in terms of color around what kind of discretionary work gets pushed or has been pushed in Q1, I would say it's across the board. Anything that's project oriented or discretionary, so things that – project work, new application development, some of the digital projects got pushed a little bit. Again, I don't know that this was a major push, big delays. I think this was sort of some slowdown in budget getting finalized in Q1 and then that translating into a relatively slow kickoff of new projects in some of the banks during the first quarter, which now I think we see starting to alleviate itself.
Operator: Thank you. Our next question is from the line of Mayank Tandon with Needham and Company. Please go ahead with your question.
Mayank Tandon: Thank you. Good morning, Gordon and Frank. You've called out BPaaS. I just want to get a sense, is your BPaaS work healthcare specific? And if it is, what are some of the opportunities to leverage these capabilities into other verticals? Do you have to buy assets? And then just a related question is, what are the economics like on a BPaaS deal versus your traditional services?
Francisco D'Souza: Hi, Mayank. It's Frank. Clearly, the majority of our activity in pipeline right now is in healthcare around the TriZetto platform, but we have BPaaS both opportunities in the pipeline and also client engagements that are in other industries, in other sectors. In many cases, those are platforms that we've developed ourselves. In some cases, these are platforms that we have acquired, smaller platforms that we've acquired in the past. And in some cases, these are offerings that we've constructed on top of third-party products, software platforms, either commercial ISV platforms or sometimes we're having conversations about taking a client's asset and essentially wrapping a BPaaS service around that and taking it to market. So there are a number of opportunities and a number of irons we have in that fire, and a lot of, I think, positive momentum there. I would say in terms of the economics, the economics on the initial BPaaS deals tend to be roughly in line with, maybe a little lower than a traditional deal but then the second, third, fourth time you do it because you've established the factory and the utility, the margins start to get very, very promising because you're essentially amortizing the fixed costs over larger volume.
Operator: Thank you. Our next question is coming from the line of Joseph Foresi with Cantor Fitzgerald. Please go ahead with your question.
Joseph Foresi: Hi. I was wondering, can you comment on the progress you are making in digital? I know you shied away from giving numbers around what that looks like within your business, but if you could frame it for us that would be great. And if we hit an economic skid, how discretionary do you think those digital spending dollars might be? Thanks.
Francisco D'Souza: The reason that we've – let me start by just reminding everybody that the reason that we don't quantify digital is that we think that the digital capabilities and offerings are really infused throughout all of our business through Horizon 1, Horizon 2 and Horizon 3 service offerings. And so really digital really is very much of the core operating fabric of all of our service offerings, all of our service lines. I think we continue to feel very good about the broad-based capability that we've built in digital. We were out ahead, I think, of many on the digital opportunity with social mobile analytics and cloud from a technology standpoint. I think we are in – for Cognizant in the third or fourth generation of our thinking around digital with our Digital Works approach and methodology where we've gone well beyond technology to include design and data science in addition to strategy and technology and industry knowledge to combine those together, which is what you really need when you are deploying digital on behalf of clients. We spoke a little bit about our investment in ReD Associates this quarter which is another dimension to the Digital Works approach. We feel very good about what the possibilities are in combining ReD, which brings a human approach to digital, from the social sciences standpoint. And so that's just another dimension to digital. So overall, I feel like we really have one of the leading digital capabilities out there. We are doing very deep impactful work with clients like the life sciences client that I spoke about in my prepared comments. So I feel good about the capability. It's hard to say what to quantify exactly, what portion of this is discretionary in the sense of – in the event of an economic slowdown. But I would say that contextually the work that we're doing is largely very fundamental to the future of our clients' businesses and their strategy. Today, there is no strategy for business without some digital component. And so the work that we're doing tends to be very much in the heart of the future of these businesses. And so I would imagine that there would be some stickiness to that in the event of economic slowdown. Hard to quantify, though.
Operator: Thank you. Our next question is from the line of Jason Kupferberg with Jefferies. Please go ahead with your question.
Operator: Jason, you're on mute. Mr. Kupferberg, your line is on mute.
Jason Alan Kupferberg: Sorry, sorry. Can you hear – I'm sorry, can you hear me?
Gordon James Coburn: Yep. Go ahead, Jason.
Jason Alan Kupferberg: Do any of the headwinds that you're experiencing this year feel like they could be anything more than temporary? I'm just curious why not take the low end of the guidance off the table here just given the momentum you've got going into Q2.
Gordon James Coburn: Jason, it's Gordon. The headwinds are temporary and are in the run rate now. But it comes down to the math. Because we were down sequentially in Q1, we expect healthy sequential growth going to Q2 and beyond. But when you look at the impact that Q1 had on the full year, we have to dig ourselves out of that hole. So, yeah, we think the tightening the range the way we did is appropriate.
Operator: Thank you. Our next question comes from the line of Lou Miscioscia with CLSA. Please go ahead with your question.
Louis Miscioscia: Okay. Thank you. I want to dig into the C in (48:08) SMAC, if we could. Some suggest that 1% of global workloads are in the cloud, mostly with AWS in 2013. Maybe here in 2016 we're up to 5%, but 2020, we could be up to 15%. And some are predicting actually 50% of all workloads maybe 10 years or 15 years out will be in the cloud. So I guess my question is, are you actually seeing this? Or we hear about a tipping point and many large companies, many of the ones that you deal with, the big financial banks are – want to move data whereas (48:38) want to move to the cloud. So are you seeing that? Are you helping with that? And how would it affect your business especially, I guess, I have about 7% of your business, I think, is in RIM, or remote infrastructure management?
Francisco D'Souza: So, this is a multifaceted question. And so let me answer it in a couple of different ways. It's Frank. Let me say first of all that clearly large enterprises are looking at the cloud in multiple different ways. I would say that most of the large enterprises that we deal with are very much focused on hybrid cloud and looking at very carefully thinking about what workloads belong in the cloud and what workloads belong on-prem and how those balance off against each other. I would say that the – while the nature of workloads in the cloud requires a different maintenance profile, a workload in the cloud needs to be maintained and upgraded and monitored and modernized and all of those kinds of things, just like a workload on-premise. There's much of the care and feeding of a workload in the cloud that still needs to be taken care of. And so, I don't think it's a fair assumption to just assume that when a workload moves into the cloud, it exists in the cloud without any support or care and feeding around it. So the implication that perhaps a workload moving to the cloud completely cannibalizes revenue is not entirely, I think, accurate. at least based on the technology that's available today and what we see. I think more importantly, though -- so that's one dimension of the answer. The other dimension of the answer, I would say, is that, look, over the time horizons that you talked about, 10 years, 15 years, the amount of data and the number of devices that are going to exist in the ecosystem is going to explode. It's going to increase absolutely exponentially. And so all of that complexity is going to require, in my opinion, far more management, far more maintenance, far more deployment help. There's all of these other services that will be required to manage that degree of complexity as data and devices explode. And so I think when you look over the time horizons that you're looking at, I'll come back to the answer I gave to one of the earlier questions, which is that the world is going to become more technology-intensive, not less technology-intensive. It's going to become more data-intensive, not less data-intensive, and it's going to become more device-intensive and these devices are going to be much more heterogeneous than they are today. All of that complexity is going to require a lot of services to manage and maintain, and I think we're very well positioned as that transition occurs.
Operator: Thank you. Our next question is coming from the line of Glenn Greene with Oppenheimer. Please go ahead with your question.
Glenn Greene: Thank you. Good morning. I guess going back to BFS, the weakness there and it feels to me like it's largely client-specific both domestically and Europe. So I guess I'm just wondering about the line of sight toward improved growth, if the trends at those clients specifically change and how do you have line of sight to the improvement? And I'll just a follow-up question unrelated would be a little bit of color on the dramatic improvement in the attrition trends. I know you're at a comfortable rate as it relates to employee attrition.
Francisco D'Souza: Hey. It's Frank. Let me talk a little bit about Financial Services and then maybe I'll ask Gordon to comment on employee attrition. So I would say that if you think about our Financial Services portfolio, the bulk of our Financial Services portfolio are clients that we've worked with over many, many, many, many years. And if you look historically at our performance in Financial Services, I think you'll see that our Financial Services performance and portfolio has delivered very consistent results and solid growth year-over-year sequentially over many, many quarters. The reason for that is that, I think, we've got great relationships with these clients. We tend to be very embedded with these clients as they plan their annual operating budgets and their annual operating plans, their project portfolios and so on and so forth. And they worked very closely with us as they're planning that to make sure that we have the capacity and the talent available to meet their demands. So we tend to have very good visibility with these clients. We knew a slowdown in Q1. We told you about the slowdown in Financial Services when we gave you our first look into the first quarter and that was a result of the fact that we had been given that heads-up in working with a lot of these clients. And as we've gone through the first quarter, we continue that process with them, we now feel comfortable that we've got visibility that we will return Financial Services to positive sequential growth for the rest of this year. So with that, Gordon, would you want to comment on attrition?
Gordon James Coburn: Sure. So, Glenn, we had a spike in attrition last year and the spike lasted longer than we would've expected and had in prior spikes. And that's frustrating for us because Cognizant has this incredible culture, unique culture, our growth rates create tremendous opportunities for career advancement for our people and the nature of the work we're doing and our leadership in digital provides for really interesting work. So we redoubled our efforts on employee engagement. We are very clear to our employees, we share the company success with them, we paid out very healthy bonuses for 2015. We've rolled out our career architecture, so people can understand what does it take to move up in the organization so they can self-manage their career. We've improved rotational experiences, we've invested – we doubled down again in investment and training for our people. So I think what's happened is as people – as our employees have experienced what we've talked about and as we focused on it again, we've seen improvements, there's a little bit of seasonality in Q1 because of bonus payouts but clearly the trend is very much headed in the right direction and it comes down to – there are very few companies in the world that can provide the kind of career growth opportunities that Cognizant can for our employees.
Operator: Thank you. Our final question today is coming from the line of Lisa Ellis with Sanford Bernstein. Please proceed with your question.
Lisa D. Ellis: Hi, good morning, guys. Following on, I guess the organizational question bent, can you comment on the comp plan changes you disclosed in proxy a few days ago? What the objectives are and behavioral change you're trying to drive there? And then also, from an organizational perspective, can you comment – we hear about the Horizons, and then we hear about Digital Works, and this front office, middle office, back office. Can you just clarify a bit kind of organizationally how you're structured to drive the shift and react to the shift in the marketplace?
Gordon James Coburn: Sure. Lisa, let me comment on the comp changes and then Frank can comment on your second question. I'm assuming you're referring to the PSUs, so there are two things that are going on there. One is, historically, PSUs have been 100% revenue. We've now shifted that to a combination of revenue and earnings to balance it out a bit more and in line with what other companies are doing. The second thing is for the grants that we've issued in early 2016, we're moving to a two-year measurement period instead of a one-year measurement period. So what this does, it further differentiates the measurements on the annual bonus from the measurements for the PSUs and obviously the PSUs, then there's a fairly long tail afterwards before they actually vest. But we wanted to make sure that the incentives are in line with revenue and earnings and that they're multiyear. So it's more aligning to what others in the industry are doing. That's the primary purpose of that.
Francisco D'Souza: And, Lisa, let me comment a little bit about how we're organized and how we're going to market. So I'll remind you that our primary access in going to market has been, for the better part of a decade maybe longer, the industry vertical. So we take everything to market through an industry vertical lens, we view that as being an incredibly important and significant part of our differentiation to have deep domain expertise around the industries that we serve and taking all of our services into a client through the industry lens. Behind the industry groups, we have essentially what you might think of as lines of service. The lines of service are – fall into different categories. These are the traditional services, the Horizon 2 services or rather the BPO IT infrastructure services and consulting and also the new digital services and all of these services go to market through the verticals. The three Horizon model is how we manage investments across the business, so both across verticals and the horizontals, if you will, the lines of service, we apply the three Horizon models to say how do we allocate capital, how do we make investments across both the verticals and the horizontals. And actually there's a third dimension which are the geographies in which we operate. So the three Horizon model is a very clear and crisp way for us to say across the three legs of our matrix, the verticals, the lines of service and the geographies in which we operate, how do we allocate capital to the places where we're going to get the best returns, where the growth potential is the best. And so three Horizons for us is less of an internal organizational construct. We don't have a Horizon 1, a Horizon 2 and a Horizon 3 organization. What we have is an investment model that follows the three Horizons and layers on top of the three vectors that I just talked about, which are the three legs of the matrix are the real organizational vectors, the verticals, the geographies and the lines of service. So I hope that clarifies it a little bit and I think that's our last question.
Francisco D'Souza: So with that, let me thank everybody for joining us today and for your questions, and we look forward to talking with you again next quarter. Thank you.
Operator: Thank you. This concludes today's Cognizant Technology Solutions first quarter 2016 earnings conference call. You may now disconnect.